Operator: Good afternoon, ladies and gentlemen, and thank you for standing by. Welcome to the European Wax Center's First Quarter Fiscal 2022 Earnings Conference Call. All this time, all participants are in a listen-only mode. After the speakers presentation, there will be a Q&A session. In order to facilitate as many participants as possible, we ask that you please limit yourselves to one question and one follow-up during the Q&A session. If you have additional questions you may rejoin the queue. At this time, I would like to turn the conference over to Amir Yeganehjoo, Senior Vice President of Financial Planning and Investor Relations. Sir, you may begin.
Amir Yeganehjoo: Thank you, and welcome to European Wax Center's first quarter fiscal '22 earnings call. With me today are David Berg, Chief Executive Officer; David Willis, Chief Operating and Chief Financial Officer. For today's call, David Berg will begin with a brief review of our first-quarter performance and discuss the progress against our fiscal '22 priorities. Then David Willis, will provide additional details regarding our financial performance, our recently completed recapitalization and our updated guidance. Following our prepared remarks, David Berg, David Willis and I will be available to take questions you have for us today. Before we start, I would like to remind you of our legal disclaimer. We will make certain statements today, which are forward-looking within the meaning of the Federal Securities Laws, including statements about the outlook of our business and other matters preference in our earnings release issued today. These forward-looking statements involve a number of risks and uncertainties that could cause actual results to differ materially, please refer to our SEC filings, as well as our earnings release issued today for a more detailed description of the risk factors that may affect our results. Please also note that these forward-looking statements reflect our opinions only as of the date of this call and we take no obligation to revise or publicly release the results of any revision to our forward-looking statements in light of new information or future events. Also during this call we will discuss non-GAAP financial measures, which adjust our GAAP results eliminate the impact of certain items. You will find additional information regarding these non-GAAP financial measures and a reconciliation of these non-GAAP to GAAP measures in our earnings release. A live broadcast of this call is also available on the Investor Relations section of our website at investors.waxcenter.com. I will now turn the call over to David Berg.
David Berg: Thank you, Amir, and good afternoon everyone. Thank you for joining us today. Before discussing our first quarter performance and expectations for the remainder of the year, I'd like to remind everyone about European Wax Center's tremendous business model. As the category creator, we have built a leading Personal Care franchise brand that has revolutionized the growing highly fragmented market for out-of-home hair removal. The simplicity and scale of our asset-light franchise platform enables us to deliver 10s of millions of trusted, efficacious and accessible wax services each year. We are proud of everything we've accomplished to date and remain on track to deliver our long-term growth targets. I would like to thank all of our associates and franchisee partners for continuing to flawlessly execute our growth initiatives while delighting our guests with an unparalleled waxing experience. It's clear from our first-quarter performance that fiscal 2022 is off to a solid start reflecting the strength of our business, consumer demand for our services and continued recovery from COVID-related headwinds we experienced early in fiscal 2021. While we reported fourth quarter results just a few weeks ago, we have continued to make progress against our strategic priorities for fiscal 2022. Most notably, we completed the refinancing of our capital structure at the beginning of April, and look forward to issuing a $3.30 per share special dividend in the coming days. Turning to our Q1 results. We delivered on both of our primary growth drivers--opening new centers and driving positive same-store sales. We opened 21 net new centers ending the quarter with 874 centers in 44 states. Our development pipeline is deeper than ever and continues to grow as we generate increased interest from multi-unit operators and existing franchisees who are excited to expand their portfolios within European Wax Center. From a same-store sales perspective, we expected to deliver growth in the low-20s since many of our centers nationwide were either closed due to COVID-19 or beginning to rebound in the first quarter of 2021. However, existing centers outperformed our expectations with strong wax pass sales and redemptions delivering a 29% same-store sales growth in Q1. California where COVID closures were more concentrated in early 2021 accelerated its recovery and contributed approximately one-third of our 29% growth in the quarter. Looking beyond California, we are especially proud that our mature centers generated strong double-digit growth driven by traffic and price. In addition to our two growth drivers, system-wide sales of $207 million increased 32%. Total revenue of $45.4 million grew 24% and adjusted EBITDA of $15.2 million increased 21% year-over-year. We are pleased to raise our fiscal 2022 top-line and bottom-line guidance to incorporate our first quarter performance, which David Willis, will cover on the second half of today's call. Overall, the continued positive trends in our business give us confidence that both existing and new guests have returned to their personal care routines. While we are pleased with our first-quarter results, we remain focused on our long-term growth objectives as supported by our fiscal 2022 priorities, which are expanding our national footprint through new centers, increasing the pipeline of wax specialists staffing our centers, capitalizing on our enhanced marketing and loyalty programs to drive deeper customer engagement, leveraging our scale to benefit our supply chain and franchisees and finally optimizing our capital structure to lower our cost of capital and increased flexibility. We have continued to make progress on these priorities since our last earnings call in mid-March. Starting with new center development. We have made investments over the past two years to elevate our approach to unit growth. As we transitioned from European Wax Center's area representative model starting in 2019, we built a development function that allows us to be very thoughtful and how we address our extensive white space opportunity. As a reminder, we have a nationwide potential of more than 3,000 locations compared to the 874 open at the end of Q1. Our pipeline is several years deep and virtually all of our 30 plus licenses are held by existing franchisees. With our improved development capabilities, we continue to focus our market planning to prioritize our top market opportunities. We are targeting 7% to 10% annual unit growth and expect more than 8% growth in fiscal 2022 also largely driven by our existing franchisees. Two-thirds of our fiscal 2022 pipeline is either open or under construction, which gives us confidence in delivering on our full-year goal while mitigating risk from a challenging construction environment. Our second priority, increasing the pipeline of Wax Specialists is directly correlated to our new unit growth objectives as staffing is a critical component. We are passionate about licensed aestheticians and cosmetologists delivering unmatched expertise with every service. As we opened 70-plus centers per year for the foreseeable future, it is imperative that European Wax Center remains a brand of choice for licensed aestheticians. Our brand is already the number one employer for cosmetologists roles based on indeed.com engagement and we're seeing early traction on our campaign to further elevate European Wax Center on hiring sites like Indeed and Glassdoor. This spring, we also completed the pilot phase of a beauty school partnership program, which attracts new graduates through educational and learning materials that showcase our brand and encourage students to connect with our local EWC center. Using that positive feedback from pilot participants, we better understand their desired employee value proposition and can share it with our franchisees to ensure a best-in-class workplace. Since the beauty school system is exceptionally fragmented and licensing requirements vary by state, the rollout of our successful pilot program is a long-term initiative that our dedicated operations and Industry Relations teams are advancing. They also generate significant engagement through large industry events which helps develop our direct email campaign list with interested in candidates. In Q2, we are excited to launch a more robust portion of our website, that not only offers insights into a general career in waxing but also highlights our in-center experience from a Wax Specialists perspective. The information we gather from a site will become yet another lever for European Wax Center to target candidates and promote a career with our brand. Turning to our third priority, our marketing and loyalty programs. Our marketing team is focused on three objectives --attract more, buy more and visit more. Our first marketing objective attract more leverages our media strategy to increase brand awareness and drive guests into our centers. Our 2021 media plan reinforced our leadership position using branded content to make meaningful connections and drive nearly 30% more new guests into the center versus 2019. We are using this proven approach in 2022 while also broadening our reach to drive continued sustained growth. Utilizing advanced analytics, we've identified two new audience--men and multi-cultural guests that are predisposed to waxing, but are not yet aware of the EWC brand. We are concentrating our messaging to both of these segments during the warmer months which coincides with our peak season. We are also launching a new brand campaign this spring, called a New State of Smooth, guest insights to inform both the content and the creative assets of this campaign ensuring that it truly resonates with our target audiences, both visually and emotionally. Specifically, the content reinforces the three unique pillars of the European Wax Center brand. One, our exclusive focus on waxing and our unique Comfort Wax; two, our expertise as the undisputed category leader; and three, the unapologetic confidence our guests feel after leaving a European Wax Center. Recent research indicates that we have been taking market share from independent salons and we believe that through our attract-more initiative, we will maintain this momentum. We also continue to focus on in-center execution to drive services per transaction and retail product attachment to support our second objective-- buy more. Our proprietary retail products have recently earned beauty awards from prestigious publications like Glamour. ELLE and NewBeauty. In fact, our award-winning Ingrown Hair Serum and the new Calming and Brightening extensions that we launched in October, have been such a hit with our guests that we launched in Ingrown Hair Patch last month. These Ingrown Hair patches are the first and only patches on the market that are formulated to address Ingrown Hair further demonstrating our drive for innovation and reinforcing our dominance in the category. Finally, in terms of encouraging our guests to buy more and visit more, our top priorities are to increase product attachment and guest retention through CRM programming and our EWC Rewards loyalty offering. From a CRM standpoint, the appointment-based nature of our services, means that all guests are contactable. As a result, we can deploy timely and targeted messages to any subset of guests to drive behaviors like purchasing or redeeming a Wax Pass or coming in for an additional visit. We expect the launch of our unified data foundation later this year to make the design implementation and measurement of our CRM initiatives easier than ever before. As we shared a few weeks ago, we are also encouraged by the early reads of our new loyalty program as a major function of our visit more and buy more objectives. We view EWC rewards as a tool to drive positive behavior over time while growing brand affinity among our guests. Additionally, the program differentiates us from the independent service providers, making up this highly fragmented category. Guests who have redeemed rewards in the program's first few months are spending more, particularly on our proprietary retail products. We have also seen higher guest frequency over the last six months. While we're still in the program's infancy, we look forward to continuing to analyze and share more updates later this year. Overall, we feel confident that we are taking the right steps to deepen our relationships with our guests as evidenced by our double-digit growth in retained guests versus Q1 of last year. Our fourth priority is to continue leveraging our scale to enhance our supply chain and share these benefits with our franchisees. European Wax Center's leading market share enable us to support our network through sourcing initiatives that mitigate cost for our franchisees--a distinct competitive advantage versus the independent salons and providers that make up most of the out-of-home waxing category. While we believe we are better positioned than most to navigate the current macro-dynamics, inflation continues to impact the supply chain and we are seeing higher inbound freight costs, and we are currently absorbing those additional costs on behalf of our franchisees. We believe this is the best approach at this time and we will continue to evaluate if cost continue to increase. These higher freight costs are factored into the revised guidance that David Willis, will address in a few minutes. We value the relationship with our franchisees and know that their profitability is key to our long-term growth. Our partnership has never been stronger. Over the long term, we believe that being the category leader gives us the pricing power to protect franchisee four-wall margins. To date, we have not seen any notable volume impact because of increased price on body services implemented earlier this year. In fact, despite the pandemic's impact on transaction volume four-wall margins increased from fiscal 2019 to fiscal 2021. We believe that our ability to drive margins higher over time is a hallmark of our appeal to both existing franchisees and private equity firms looking to invest and grow with us. Finally, our fifth priority for fiscal 2022 is to optimize our capital structure. To that end, we launched a whole business securitization in mid-March. Concurrent with our fourth quarter earnings call. While unique, this structure is used at many of the largest and highest-quality franchisor. This debt instrument is especially suited for European Wax Center due to our asset-light nature, recurring revenue model, strong predictable cash flows and reliable growth trajectory. We closed the transaction in early April and are using the net proceeds plus excess cash from our balance sheet to return capital to shareholders through a special dividend. From a long-term standpoint, we are especially excited that because our asset-light model enable us to de-lever quickly as we grow, this financing option gives us the flexibility to deliver shareholder value through special dividends, share buybacks or strategic investments without the need to restructure. In summary, while we remain watchful of the macroeconomic headwinds that continue to evolve and impact companies around the world, European Wax Center is uniquely positioned to navigate the environment and continue to unlock value. We are seeing strong traffic and increased frequency into our centers as our guests are highly engaged in the category and do waxing as a non-discretionary part of their routine. This translates to a recurring revenue stream for our network and gives us the ability to leverage our pricing power. We have also deployed several initiatives that should provide a pipeline of dedicated Wax Specialists. And lastly, our strong relationships with our suppliers and our scale enable us to support our franchisees with the tools that they need to provide best-in-class service. We remain inspired by our growth opportunities both near and long term. We look forward to leveraging our new center pipeline, marketing initiatives and the superior guest experience to drive new guests and retain those guests that experience, European Wax Center for the first time last year. 2022 is off to a solid start and we are well-positioned to continue our favorable momentum and deliver another year of strong financial growth and significant accomplishments toward our long-term goals. With that I'd like to turn the call over to David Willis to review our first quarter performance and increased guidance for fiscal 2022. David over to you.
David Willis: Thanks, David and good afternoon everyone. As a quick reminder, my remarks will focus on our adjusted results which exclude cost related to our initial public offering and other one-time costs. You can find reconciliation tables to the most comparable GAAP figures in our press release and 8-K filed with the SEC today. As David Berg mentioned, we are very pleased to share our results with you today. Since last year, we've acquired a significant number of new guests increase the number of retained guest by double-digit rates and taking market share from independent competitors. We have strategically and thoughtfully managed cost increases on behalf of our network and raise prices on body services to preserve four-wall EBITDA without seeing an impact on traffic. Lastly, we have been disciplined with expenses while investing in the necessary capabilities to help us achieve long-term success as a public company. We believe all of these factors played a role in driving our solid performance in the first quarter of fiscal 2022. Q1 system-wide sales increased 31.9% million to $207 million and total revenue rose 23.9% from Q1 last year. We opened 21 net new centers during the first quarter and delivered 29% same-store sales growth. Most of our network was rebounding from COVID-related shutdowns and closures in Q1 of last year, so we expected Q1 2022 growth, well above our long-term targets. However, robust Wax Pass redemptions across the network drove same-store sales performance above the low 20's outlook we shared in mid-March. California was particularly constrained last year and contributed approximately a third of our same-store sales growth. California has achieved its expected 2022 run rate faster than we had anticipated, which also contributed to our strong Q1 results. We are pleased with California's recovery so far, it is still trending slightly below pre-COVID levels and at this time, we do not expect an outsized contribution to future network performance. From a profit standpoint, adjusted EBITDA which excludes the impact of non-cash items, one-time charges and other costs such as share-based compensation expense, increased 20.9% to $15.2 million. Adjusted EBITDA margin declined 80 basis points to 33.4% due to the introduction of public company costs this year as expected. First-quarter adjusted net income increased $5.7 million year-over-year to $8.6 million. In terms of the balance sheet, we ended the quarter with cash and cash equivalents of $44.2 million, $178.9 million in borrowings outstanding under our term loan and no amounts outstanding under our $40 million revolver. As David Berg mentioned earlier, we were very pleased to complete the refinancing of our term loan just after the quarter ended. As of April 6, our long-term debt consists of $400 million a Class A Senior Secured notes with a five-year term and a 5.5% fixed interest rate. After deducting transaction fees, we used net proceeds of $372 million-plus $15 million of excess cash of our balance sheet to pay off the previous term loan and declare a special dividend of $3.30 per share payable in a couple of days. We are excited to already be generating strong shareholder returns post IPO and we view this whole business securitization as a key step in our multi-year journey of delivering significant long-term value. Prior to the refinancing, our net debt to adjusted EBITDA ratio at the end of Q1 was two times on a trailing 12-month basis. Pro forma for the transaction. Our leverage ratio was approximately 5.3 times but given our current guidance for adjusted EBITDA growth in fiscal 2022, we would expect to de-lever more than half a turn during the balance of the year. This whole business securitization not only locks in a fixed interest rate in this rising rate environment, but also enables us to easily grow our securitization as we naturally de-lever through consistent EBITDA growth. We believe that our modest capital expenditures in high-cash flow generation uniquely position us to maintain longer-term leverage targets that are in line with best-in-class franchise models while lowering our cost of capital as we continue to fuel growth. Now I'd like to discuss the updates to our outlook for fiscal 2022. Despite some supply chain and permitting challenges in the development environment, we are pleased that our expectations for opening 70 to 72 net new centers this year remains unchanged. With the deepest pipeline in our history and two-thirds of our fiscal 2022 openings already open or under construction, we feel confident in delivering more than 8% Center growth in fiscal 2022. Our long-term growth expectations also remain intact but we are raising our top and bottom-line metrics for fiscal 2022 to incorporate our first-quarter performance, net of some timing factors that I'll describe shortly. System-wide sales continued its robust momentum in Q1 and outperformed our expectations for two reasons. First, we collected cash related to Wax Pass sales earlier than we originally anticipated, which benefited Q1 system-wide sales in our total revenue. As a reminder, system-wide sales along with our royalty fee and marketing fund revenues are calculated based on when payments are collected from guests for services and Wax Pass purchases. Our Centers accelerated the sale of Wax Pass in Q4 and early Q1 before body service price increase went into effect and we collected the related installment payments earlier than anticipated. As a result, compared to our initial outlook, we estimate that approximately $5 million in cash-based system-wide sales pulled forward from Q2 into Q1. Second, due to the accelerated Wax Pass sales in Q4 and early Q1 Wax Pass redemptions were slightly stronger than expected. The increase Wax Pass purchases in December and January generated more first quarter visits than anticipated contributing to our 29% comp. We are raising our full-year system-wide sales expectations by $5 million to $875 million to $915 million and increasing our same-store sales outlook by 150 basis points to 9.5% to 10.5% to flow through our Q1 performance. Our outlook implies same-store sales increases for the balance of the year, slightly below our long-term target of high single digits, because we're lapping strong COVID rebound tailwinds in Q2 and Q3. It's still early in the fiscal year, but we're pleased with our trajectory as we start to analyze guest behavior in a much more normalized environment than we've seen in the past two years. We're also raising our 2022 total revenue outlook by $1 million to $199 million to $209 million. At the midpoint, our guidance represents 14% total revenue growth year-over-year. Higher than our long-term target of low double-digit growth in part because of an incremental $8 million to $10 million from the new medical supply arrangement with franchisees we started in Q1. From a profit standpoint, we now expect fiscal '22 adjusted EBITDA of $69.5 million to $72.5 million. Our revised outlook incorporates four factors; a flow through from higher top line expectations, better expense management in Q1 partially offset by increased freight cost to import our unique Comfort Wax and finally, a shift in timing of certain advertising in SG&A expenses from Q1 in the Q2. Full-year adjusted EBITDA margin expectations remain at nearly 35% with Q4 expected to have the highest margin of the year as we invest more advertising dollars in Q2 and Q3 to support guest acquisition during peak season. Long term, we continue to expect low to mid-teens compounding annual adjusted EBITDA growth, with margins in the mid to high '30s. Finally, we've updated our adjusted net income guidance for the full year to reflect a few updated assumptions. First, a flow-through of the adjusted EBITDA factors described above and second, we expect approximately $23.5 million in interest expense this year when factoring in the new senior secured notes in amortization of the related transaction fees. Lastly, given our ownership structure and updated valuation allowance expectations, our outlook now assumes negligible corporate income tax expense for fiscal 2022. We remain committed to providing annual guidance but because we are still newly public and lapping an abnormal year due to COVID recovery, we believe it's important to be clear about how the quarters are expected to play out. Recap the factors I just discussed. We assume a pull-forward of approximately $5 million in system-wide sales from Q2 into Q1 versus our previous expectations for the second quarter that equates to a pull-forward of approximately $0.5 million of total revenue through the calculation of our marketing and royalty fees. The adjusted EBITDA impact to Q2 is approximately $700,000 comprised of the flow through from the revenue pull forward as well as a shift in operating expenses from Q1 into Q2. All of these items are expected to be net neutral to the full year. From a long-term standpoint. We remain confident in our previously communicated growth targets of compounding annual growth of high-single digits for new centers, high-single digits for same-store sales, low double digits for total revenue and low to mid-teens for adjusted EBITDA. And we are pleased with our continued momentum in 2022 and excited about the year ahead of us. We look forward to growing shareholder value for years to count. I'll now turn the call back over to the operator for questions. Operator.
Operator: [Operator Instructions] And the first question comes from Randy Konik with Jefferies. Please go ahead.
Randy Konik: Thanks a lot, and good afternoon, everybody. I guess my first question is, I wanted to get some perspective on how service patterns are changing at mass have been coming off broadly even on the plane. So have the customers started to kind of increase upper lip, brow or wax facial services and if so, is that contributing to more services per visit higher transaction value per visit, just curious on what you're seeing there?
David Berg: Thanks for the question. I think that the ease of the mass mandate is still pretty early. So we have not seen a substantial mix shift from what we've reported before, which was heavily indexed towards body services, we continue to expect that we will see facial services become a bigger part of our mix going forward, but in Q1, I think it was just too early to tell, and you will see as we talk to our guests again, just reminding them that it's safe not only to come back in, but it's also safe to come back in and get those facial services. So it's an emphasis of how we are looking at this as we go forward.
Randy Konik: Got it. And then just with the strength in the same-store sales and productivity in the units, obviously, it looks like you're continuing to gain market share against a fragmented landscape of competition, any sense of kind of share transfer you're seeing out there in any types of geographies you're particularly seeing it more pointed versus other geographies anything to note there?
David Berg: I don't think there is any specifics. As you know, we're a little bit more heavily skewed in the suburban areas. We do know Randy that from our research that one and five guests coming to us in 2021, was coming from a competitor, we know probably up to 10% of the Mom and Pops salons did not reopen coming out of COVID. I think probably that there are well-known history of focus on hygiene and training if you were at all concerned about that in your previous provider is probably someone was driving- coming to our brand and candidly we think as sort of things get a little bit tougher, our customer demographic, SKUs more towards that household income over $100,000 and there a bit more immune from some of the higher prices that they're experiencing in other places and we've just seen the brand continue to show its dominance as folks continue to make this part of their non-discretionary beauty regimen. So we think we'll continue to take market share because of our superior value proposition
Operator: The next question comes from Jonathan Komp with Baird. Please go ahead.
Jonathan Komp: Thank you. I want to ask a follow-up on the comps outlook for the year and I know you highlighted, more difficult comparisons after the first quarter. And my question is, are you seeing the business go against those tougher comparisons that are ready now, and how are the comps reacting or are you assuming the comps slow from sort of the run rate trajectory that you're on today?
David Willis: Hi Jon. David Willis. Thanks for the question. We're just trying to call out as we had candidly, a bit of a softball comps in the first quarter with California Center just starting to come back online in the first quarter of 2021. Our California started getting some momentum in the second quarter, in the third quarter and the rest of the country did as well. So, the only thing we wanted to call out is we're just lapping a tougher comp in the second quarter and third quarter of 2021, but no, we wanted to be clear, we don't see any degradation and kind of our long-term targets there.
Jonathan Komp: Okay, that's very helpful and then just one follow-up on the cost and the EBITDA projections. I know you, David Willis, highlighted some of the shifts quarter to quarter, but are you baking in any discrete inflation impacts during the balance of the year or could you just comment more broadly, how inflation is impacting the business, if it is? Thanks.
David Willis: Yes, you bet. Jon. So the item that we called out strategic decision on our part, we are seeing higher freight cost towards the wax that we're importing over from Europe. So the ocean freight rates continue to escalate. You may recall, previously we had passed on a freight surcharge to our network and our wax price increased to our network. We in turn took pricing in the four-wall center to protect four-wall EBITDA in both of those instances. What we're seeing in terms and which we have factored into our guidance are increased higher freight cost for the Wax that we're importing from Europe. We made the decision to absorb that, to candidly protect four-wall economics. We will continue to monitor this, if costs go up. We're also committed to delivering the street, the numbers that we had communicated. So if costs go up more than what we are forecasting, we'll evaluate, when if we have to pass on those higher cost to our franchisees.
Operator: The next question comes from Dana Telsey with Telsey Advisory Group. Please go ahead.
Dana Telsey: Good afternoon and congratulations on the progress. Just want to get any updates. I think the gross margin guidance that we've talked to in the past for this year was around 71% to 71.5%. Are you still looking at that and how do you think about that go forward? And on the aestheticians or the Wax Specialists, are you finding them now more so in California and how our labor rates versus your plan? Thank you.
David Berg: Dana, I'll start on the gross margin. So in terms of our guidance for the full year, we outperformed in the first quarter relative to expectations. You may recall the medical supply arrangement that we put in place in the first quarter was gross margin, gross profit dollars accretive, but gross margin percentage diluted. We implemented that a few weeks later than we had anticipated. So we had a few weeks of kind of higher gross margin percentage in the first quarter relative to our initial expectations. On the margin, we still think the overall year is going to be at the gross margin profile that we had previously guided to. With respect to Wax Specialists, we are seeing continued momentum in our California centers in terms of our franchisee's ability. They are not to optimal staffing levels yet with pre-COVID staffing levels yet but our franchisees continue to make good progress there. So we're encouraged by that. And with respect to labor rate, I think we touched on this, Dana, bit in March. The average franchise EBITDA margins were actually higher in 2021 than they were in 2019. So thus far our franchisees have been able to manage inflationary rates with respect to labor. We'll continue to monitor that obviously, our franchisees dictate the compensation they pay to their Wax Specialists and their guest service associates but thus far, they've been able to kind of weather that without an issue.
Dana Telsey: Got it. And then just lastly on the topic of inflation, do you see it at all any different in different areas of the country in terms of the perceived impact on the consumer and how you planning pricing going forward, when do you plan to pass on any cost increases and to what magnitude? Thank you.
David Berg: Sure, Dana. So we did implement price increase for our body services earlier this year. You may recall we have seven different price tiers throughout the country. So, by design, we charge a little bit more for services in those markets that have higher wage rates and higher rent expense. We currently do not plan to implement across the board service price increases for the balance of the year. However, we do allow our franchisees to raise rates if they want to outside of our standardized price increases, so nothing is planned in our guidance, but we wouldn't prohibit or franchisee if they saw hyperinflation and give the market, we would not prohibit them the ability to take price within that market.
Operator: The next question comes from Simeon Gutman with Morgan Stanley. Please go ahead.
Simeon Gutman: Last quarter we quantified the California drag somewhere between the 400 to 500 basis point impact. Did you say that the drag is completely gone? And then as it moves through the year, the drag- it just you have tougher compares, so even if the drag has gone, it's just not going to be the same year-over-year benefit to the overall comp.
David Berg: Yes, Simeon. So last year in 2021, all of our comps were against 2019 pre-COVID levels, we thought comping against 2020 would be a bit confusing. This year in 2022, we're now comping against 2021. So as you think about last year California was a drag relative to 2019. Given the momentum there when they started reopening in 2021, it's actually an improvement to comp this year. So, that relationship has essentially --it's the inverse of what we talked about last year.
Simeon Gutman: Got it.
David Berg: I think we had mentioned Simeon in our prepared remarks to kind of frame range that --of our overall 29% comp in the quarter, about a third of that is driven from our California center and about two-thirds of that's driven from rest of network.
Simeon Gutman: Okay. That's right. Okay. And then if you look at the mix of the comp between appointment center growth and then ticket, can you share? It sounds like the appointment center's picked up, there were several comments around that. It sounds like the mix of that would have increased in the quarter, is that fair? And I guess I don't know if there's a way that we should think about that going forward.
David Berg: Yes. So, good question. Last year was a consistent story. The comp was overweighted with price lesser on tickets. In the first quarter of this year tickets or traffic accounted for about 70% overall comp and 30% price. Now, I think that we'll see that more balance out throughout the year, because first quarter was so heavyweight with California recovering, but we are pleased to see a much more balanced view that we're seeing and tickets and traffic drive more of our comps and just price.
Operator: The next question comes from Lorraine Hutchinson with Bank of America. Please go ahead.
Lorraine Hutchinson: Thanks, good afternoon. I wanted to first follow-up on the comments you made around the supply chain inflation, these are the freight understanding you are digesting those cost yourself, just wondering if you're having any difficulty receiving any of your suppliers or simply it's just costing more?
David Berg: Lorraine. We're not and we feel fortunate. Candidly, we're not importing thousands of SKUs from all over the world, we're importing handful SKUs from Europe. So thus far, we did see port congestion early in the year that's been a bit more decluttered. You may recall we maintain kind of four to five and some case of six months of wax as a bit of an insurance policy. So, earlier in the year, we saw probably more Wax on the water than what we would like that has since decluttered and we have more Wax in DC. So we will continue to monitor that, the port congestion for the ports that we're accessing have gotten better but our supply chain team is looking at that every day.
Lorraine Hutchinson: Thank you. And then I wanted to follow up on the ramp and advertising in 2Q and 3Q, will that look different than what you, how you marketed before, are you testing in or using any new channels? I was just hoping for a little bit more detail there.
David Willis: Yes. We typically. Lorraine, this is David--we typically ramp in Q2 and Q3, if there is any seasonality of the business and it's very marginal as we've explained previously. But we'll spend more in those months. And we continue to look at our media mix, we skew heavily towards digital and social net, and that's the way we'll continue to do it. As we get deeper CRM and better analytics, we're getting to a much greater ability to get personalize and get into subsets of our guests to target those guests. So you will see that the consistent ramp that we have in years past and targeted across those digital mediums.
Operator: The next question comes from John Heinbockel with Guggenheim. Please go ahead.
Julio Marquez: Good afternoon, this is Julio Marquez on for John Heinbockel for today. Just a couple of quick questions. You have any update on customer segmentation in terms of average visitation and spend by the most loyal customer versus the average customer and following up over the last three quarters, you've averaged about 20 center openings, how conservative is the full-year targeted? Is there anything that's can come up in the second half that might impact openings, it is an upside or downside? Thanks.
David Berg: Mark, thanks for the question. It was all address the customer segmentation. We've segmented our customers, we've got kind of five key customer segments that we go after. We mentioned in our prepared remarks that we-- the enterprise data warehouse has gone live and we are really excited about getting much deeper and robust profiles around our guests and will share in more detail around guest metrics and customer segments as we go forward. But we do know as we sort of alluded to in some of the calls about questions around inflation is that our guests do skew that a higher income level, a little bit more muted in terms of the elasticity of prices of our services and we've been very, very pleased with kind of the robustness and the traffic that we've seen but you're more to come on sort of specific customer segments as we go forward in the year.
David Willis: And I'll just touch on development. So we're pleased with the net 21 centers delivered in the first quarter, we had a nice balanced mix of both from franchisees and geographies. So with 17 franchisees opening centers in 13 different states. So we feel good overall about our pipeline in our construction process. Having said that, we're still seeing permitting delays in some markets. So we'll continue to monitor that, but we feel really good where we're sitting here today on May 4 and that we've opened 21 and we have a decent amount that are actively under construction.
Operator: [Operator Instructions] The next question comes from Beth Reed with Truist Securities. Please go ahead.
Beth Reed: Hi, thanks. Good evening. I guess just given the uncertain macro environment, can you talk about what the business experience from a demand perspective, during the '08-'09 recession, recognizing obviously that was much earlier days, as well as what sort of impact you've historically seen when implementing price increases.
David Berg: Yes, Beth thanks for the question. I. You're right, I mean in '08-'09 that the brand was very, very young. We comp positively during that period of time and we continue to open new centers during that time period. So we feel good, of our, a little bit of history that we've got in an actual recession. I think the other learning point for us is certainly how quickly we rebounded coming out of COVID, that guests came back and not just sort of at that pent-up demand for that first visit but got back into their regular beauty care regimen and visit us on their on their regular basis. So we feel, we feel good about--whether it's recession-proof, recession resiliency of the brand as an evidence by our history. I think one of the things that we do believe that just kind of given our scale that we've got the ability to weather the storm and probably actually would be a share beneficiary in some inflationary periods versus the smaller players that don't have kind of scale advantage.
Beth Reed: Got it. That's helpful. Thank you. And then just quickly, if I could ask, just talk about maybe some effort to generate more brand awareness either before center opens or right after, in order to improve that year one productivity, you mentioned in the past 20% new guests are coming from a competitor, I guess. Any efforts to get that other 80% into European Wax Center more quickly?
David Berg: Yes. From an operation standpoint, one of our key priorities is how do we get our franchisees to break even faster. The other is how do we get them at north of 25% four-wall EBITDA. So our operations team led by Julie Hauser-Blanner is hyper-focused on driving that ramp in that first year, Beth. We've revamped our new store grand opening package to include local marketing, more directed marketing to try to build that book in advance of centers being opened. So I think we're pleased with some of the early results that we've seen in terms of the ramping of our centers. As you know, our centers ramp across cohort, very, very consistently and we've seen some improvement in those earlier years. And we continue to believe as we focus on that--that will show continued improvement.
Operator: The next question comes from Paul Matthews with Citigroup. Please go ahead.
Tracy Kogan: It's Tracy Kogan filling in for Paul. I had a question about the new audiences you guys mentioned that you'd be targeting. I was wondering, maybe if you could talk about how big the market size is, I think in men's? And I think you said the ethnic audience, but maybe if you could talk about the market sizes versus your current female market and then specifically on what you think the growth rates will be in those markets? Thanks.
David Berg: Yes, sure. Hey, Tracy. Thanks for the question. As you know, today we're in 97 plus percent female in the guests in European Wax Center. So we did some work last year around where there are opportunities and an overall $18 billion total addressable market here in the US that we could go after and we identified the two categories that we talked about. So this is additive, right. So the male category makes up about $3.5 billion of that $18 billion TAM and multicultural. I can't give you the exact number, but it's a significant portion of our guests that just has been underserved candidly in the whole out-of-home waxing industry. We believe that we're the right people to go after that. We're really going to ramp up as we talked about in our prepared remarks, our advertising and focus campaign on those two categories of guests as we approach as we get into the summer months here in Q2 and Q3. So we're excited about some of the early returns as we sort of a soft launch in the late fall and really with much more earnest and much more focus, you'll see those efforts from a marketing standpoint ramp up here in the coming months.
Operator: We have no further questions. So this concludes our question-and-answer session. Also, the conference is back over to management for any closing remarks.
David Berg: Thanks, Tom. Thanks, everybody for joining us today. Obviously, we're very proud of the start that we're off to, we will look forward to speaking with you all in early August, as we report on Q2. Have a great rest of the day. Thank you.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.